Operator: Good day, ladies and gentlemen. Welcome to this DTE Energy First Quarter 2011 Earnings Release Conference. Please note that today's call is being recorded. At this time, I would like to turn things over to Mr. Dave Meador. Please go ahead, sir.
David Meador: Okay. Thank you, Lisa. Good morning, and welcome to our first quarter conference call. Before we get started, I encourage you to read the Safe Harbor statement on Page 2, including the reference to forward-looking statements. With me this morning are Peter Oleksiak; Nick Khouri and Mark Rolling. I also have members of the leadership team available for Q&A if necessary. Let me start with an overview on Slide 5. We have plans that will provide 5% to 6% earnings growth, and when coupled with our dividend of $2.24 per share, that provides a very attractive total shareholder return of 9% to 10%. This is offset with the key priority of maintaining a strong balance sheet. Our utility growth is driven by federal and state mandates, which even after aggressive cost management and capital efficiency work, will still generate 5% to 6% earnings growth. The utility plans are supported by a constructive regulatory structure and our cost savings are a tool to allow us to earn our authorized returns. We continue to focus on operational excellence and customer satisfaction. And as an example of that, our complaints to the Michigan Public Service Commission are down by another 1/3 this year. And our focus on procurement in Michigan has about 40% of our annual $1.1 billion spend driven to Michigan as we focus on helping drive Michigan's economy forward. We also have meaningful growth opportunities in our Non-Utility businesses. The AGA Financial Conference is coming up here in May, and Gerry Anderson will be there with updates on the Power & Industrial business, including an update on the REF business line and on our Midstream business. Now turning to Slide 6 is an overview for the quarter. We are a $1.11 per share in an operating earnings and we're right where we want to be in order to deliver our guidance of $3.40 to $3.70 per share. The 2 utilities are at 11% return on equity last year and they remain on track to do the same this year. Yesterday, the Public Service Commission issued an order regarding Detroit Edison's self implementation, which was in line with our expectations and our plans. We had proposed several options to the commission in our original case filing which would get you to the same interim economics of $230 million. The commission shows the option of $107 million in interim rates by not resetting the base rates for choice and the continuation of the choice tracker. And when you put this together, it gets you back to the same outcome of $230 million in economics. This was the result of a collaborative effort with the staff, and we are pleased with the constructive outcome. Both Power & Industrial and Gas Pipelines and Storage are also right on plan for the year. And just to note on the development side, we have entered into a letter of intent with Southwestern Energy to construct a lateral pipe, which we have referred to in our IR materials as our Bluestone Project. Bluestone will be a wholly owned DTE pipeline connecting to both Millennium and to the Tennessee Pipeline and will transport gas from Southwestern's Marcellus Shale acreage. Terms of the -- of this arrangement are being negotiated right now as we work out the definitive agreement, and Gerry Anderson will provide an update on this project at AGA. Peter will take you through the details in a moment on Energy Trading, but Energy Trading's tracking economically to our guidance target. This quarter's accounting earnings reflect timing within the year, and we continue to be comfortable with our total-year guidance for Energy Trading. So overall, we're off to a very good start for the year. Our balance sheet is also right where we want it to be and cash from operations was $700 million. We also have accelerated the timing of some of our Wind Projects with increases in our capital spending of about $300 million for the year. Although this is an increase to our 2011 CapEx guidance that we provided earlier in the year, it is within our renewable energy plan which has been approved by the commission. And Nick will take you through the details of the Wind Projects on the capital side. With that overview, now let me turn it over to Peter, who will take you through the quarter.
Peter Oleksiak: Thanks, Dave. Good morning to everyone. I'd like to start with Slide 8 and the first quarter earnings results. For the quarter, DTE's operating earnings was $1.11. I'd like to remind everyone that a reconciliation to GAAP reported earnings is contained in the appendix. Detroit Edison contributed $0.57, and MichCon, which typically has a strong first quarter came in at $0.49. The Non-Utility segments combined earned $0.15. The drivers for the Non-Utility first quarter results were Gas Storage and Pipelines at $0.09, Power & Industrial projects at $0.06, Energy Trading at $0.01, Unconventional Gas Production at $0.01 loss. Finally, Corporate & Other had a loss of $0.10 in the quarter. Let's move to Slide 9 and a summary of the quarter-over-quarter performance by segment. Operating earnings for consolidated DTE Energy are down $41 million for the quarter. Together, our core utilities, Edison and MichCon had $10 million of earnings over the prior year, and I'll be providing additional details on the 2 utility companies later in the presentation. Our Non-Utility segments are down $42 million, primarily driven by our Energy Trading segment down $36 million, which had historically high income in the first quarter last year. I'll provide more color on the Energy Trading performance in a moment. Power & Industrial projects was down $8 million, resulting from non-repeating earnings last year from the steel energy fuel's [ph] tax credit and favorable coal pricing. Gas Storage and Pipelines and Unconventional Gas Production earnings are up slightly from the prior year. Corporate & Other was down $9 million from last year, due to a onetime 2010 tax benefit. Before I move from this page, just a few more words on the Energy Trading's first quarter performance. As you recall, we lowered the income range in our 2011 guidance for the Trading business to a midpoint of $25 million, down by a more historical average of $40 million to $50 million We are on track to achieve this midpoint of guidance for this segment in 2011. The first quarter is off to a strong start for new transactions. On Page 21 of the appendix, we provided our standard page, which shows both economic and accounting performance. On that page, you will see we have $22 million of economic income, which is not recognized yet for accounting purposes. There are numerous transactions we entered into in the first quarter that will not start recognizing income until the physical delivery of the power or gas. An example of this is a coal-requirement [ph] gas transaction where the gas is delivered starting in the fourth quarter. We expect a good portion of the 22 million of tonnage to flow through operating earnings in the fourth quarter of this year. As a result, the next 2 quarters of accounting income could be relatively flat for our Energy Trading business. Now I'd like to go through some quarterly details of the utility companies beginning with Detroit Edison on Slide 10. Operating earnings for Detroit Edison was $97 million, up $6 million from the prior year. Margin for the quarter was up $8 million, driven primarily by energy efficiency incentives recorded in the first quarter of 2011 after receiving a favorable order in our efficiency reconciliation related to achieving prior year incentives. Even though we have revenue decoupling with our electric utility, we still closely monitor underlying electric load. Overall, temperature normal, electric load in the territory was up 1% in the quarter. We continue to see positive signs of economic improvement in Michigan, translating into increased sales. On the expense side, O&M was higher as a result of timing power plant maintenance and one-time benefit savings realized in 2010. In addition, in 2011, we have experience lower interest expense in favorable first quarter of 2011 property tax settlement at Detroit Edison. Moving onto Page 11, a review of MichCon's performance. As mentioned earlier, the first quarter is typically the strongest in the seasonal Gas Utility business. Operating earnings for MichCon was $83 million, up $4 million from the prior year. The primary driver was $16 million of favorable weather impacts as the quarter saw 14% pickup in heating degree days compared to 2010. Margin that other than was down $9 million, primarily driven by the fact that a final rates in the June 2010 order, which carried into the first quarter of 2011 are lower than the south implementation executed in the first quarter of 2010. In addition, maintenance expenses were up slightly this quarter, due to an increase in schedule in main service repairs. That concludes an update on our earnings for the quarter. I'd like to turn discussion over to Nick Khouri, who will cover cash flow and capital expenditures.
Nick Khouri: Thanks, Peter, and good morning, everyone. As always, improved cash flow and balance sheet strength remains a key priority for management and the board of directors. To the first three months of this year, DTE Energy's cash and balance sheet metrics are on track. In fact, nearly equal for the historically strong year we saw in 2010. Page 13 summarizes our balance sheet metrics. We expect to end this year within our targeted leverage in cash flow ranges. In addition, we have made significant progress towards our 2011 funding requirements. We have completed our pension plan funding earlier this year than in past years, and we do not foresee the need for new equity in 2011. Liquidity remains strong with no expiring credit facilities until 2012. Page 14 provides an overview of DTE's cash flow in the first quarter of this year versus the same period last year. Cash from operations, adjusted for the early pension contribution was about on par with the strong internal cash seen last year. As expected, capital was up a bit compared to last year, which I will detail in just a minute. Total net cash reached approximately a positive $300 million in the first quarter of 2011. As in prior years, net cash is not equal across the four quarters of the year. Both working capital requirements and capital spending is back-loaded towards the end of the year. Page 15 details first quarter capital spending. Year-to-date capital spending is about on par with last year for MichCon and the Non-Utility businesses. Capital is higher in Detroit Edison, reflecting an expected increase in environmental spending and the timing of plant outages. Page 16 shows our revised guidance for 2011 cash and capital. The only change from the original guidance is higher renewable investments at Detroit Edison. As Dave mentioned, we were presented with an opportunity to accelerate the timing of our wind investment in Michigan. Renewable capital in 2011 is now projected at $350 million, up from the original guidance of $50 million. Expense renewable investments at Detroit Edison are funded with the preexisting surcharge, a new capital can be supported without an increase in customer rates while still maintaining our balance sheet targets. In summary, DTE's cash and balance sheet targets are on track with year-to-date actuals nearing the historically strong year we saw in 2010, allowing us to accelerate our investment in the Renewable portfolio of Detroit Edison. Now let me turn it back to Dave to wrap up.
David Meador: Thanks, Nick. Let me wrap up on Slide 18. We're off to a very good start in 2011, as we outlined for you every group that's on plan and we are targeting the midpoint of guidance for the year. As you can see, we're making significant investments in 2011 with our total capital budget now above $1.7 billion. The spending coupled with the stream of investments going forward is the basis for our expected 5% to 6% growth rate on maintaining a strong balance sheet and an attractive dividend. As a reminder, Gerry Anderson's presentation at the AGA Financial Conference is on May 16 at 10:30 in the morning. And thank you, and we will now open up for questions, Lisa.
Operator: [Operator Instructions] Our first question today will come from Paul Ridzon, KeyBanc.
Paul Ridzon - KeyBanc Capital Markets Inc.: Could you clarify, you said expected the trading to have 2Q and 3Q results flat. Is that flat with last year or just minimal earnings, is that what you're trying to say?
Peter Oleksiak: It's minimal earnings.
Paul Ridzon - KeyBanc Capital Markets Inc.: Got it. And then, looks like industrial sales were off in the first quarter, can you give us some flavor as to what driving that?
Peter Oleksiak: We're actually -- for the entire year, we're still expecting them to be up for a few percent so there's some anomalies in the in the first quarter that really doesn't translate to a full year.
Paul Ridzon - KeyBanc Capital Markets Inc.: There's some plant shutdowns or maintenance shutdowns or...
Peter Oleksiak: No, some of that just with the billing cycles.
Paul Ridzon - KeyBanc Capital Markets Inc.: Okay. And then for those of us who aren't going to be at AGA, could you maybe give a little bit more flavor kind of the subject matter that your agent going to talk about on the unregulated side?
David Meador: I could just speak at a high level that. First of all, in our Power & Industrial business, we've outlined our growth projections to go out into 2015 where we're driving to get that business to a net income level of $100 million. The 2 areas of growth, the Renewable business line, which are the small coal plants that we're acquiring and converting to biomass that qualify for renewable energy credits. So we have 5 projects that are either in construction or operating right now, and we'll provide an update there. The other growth opportunities coming out of the Reduced Emission Fuels business line this is, again, where we've licensed technology that when added to coal, it's used in the production of electricity. It reduces NOx by 40% -- excuse me, 20% and mercury by 40%. And we are in the process right now of citing those plants, negotiating with counter parties around tax credits. And again, as this business line ramps up over the next several years, it'll provide substantial earnings for us. It's a business line that qualifies for a tax credit that runs for 10 years. So he'll just provide an update on the insights up there. And then on midstream, we've had tremendous growth over the last 5 years and this year, were over $50 million of net income. We've outlined our aspirations to get that to 2000 -- by 2015 to $70 million of net income, and I think people have been waiting this hear something on the development side, and this Bluestone project now. We've had a significant step forward in terms of reaching a tentative agreement with a counter party that would allow us to build out the lateral pipeline. And this could be a significant investment for the company and it's also the driver that'll help drive net income growth industry to over the next several years.
Paul Ridzon - KeyBanc Capital Markets Inc.: You mentioned no equity in '11, when do you foresee a potential need to tap the equity markets?
David Meador: What we've outlined is that, going forward, because of the capital that we're investing for our growth, we would see needs in the $100 million to $200 million range each year. We were able to drive that down this year and we're working hard on next year and the forward years. And one of the offsets to that over the next several years will be monetizing the Barnett properties. So as we kind of refer to that, I think of that as kind of a bank account that over time, as we monetize Barnett, that will reduce the need to issue equity. And we still believe when we issue equity going forward, it wouldn't it be a public issuance that we would be doing this through our drip or small contributions to the pension plan.
Operator: Next up, we'll take a question from Daniel Eggers, Crédit Suisse.
Dan Eggers - Crédit Suisse AG: Can I just on the wind CapEx... [Technical Difficulty]
Operator: We'll go to Steve Fleishman with Bank of America.
Steven Fleishman - BofA Merrill Lynch: A couple of questions. First, can you just maybe give some color, as you mentioned in the interim order was you're pleased with exactly what you generally expected. But when you read the order, the tone of it is -- from the commission -- I guess a little more very different than what you just said. So could you just kind of clarify maybe the differential there? And should we just kind of ignore that tone?
David Meador: No. I would get, at a high level, first of all, say that not only the law that we have that we're operating in Michigan, but also our relationship and interaction with the commission, and that would be commissioners and staff is very, very constructive and so we have one of the better relationships than we've had since -- I've worked here for 15 years. So we work very collaboratively through these issues. We have some complexities. And as we go through these interim rate increases, one of the complexities is dealing with some of these trackers that are in place, and it could be the choice tracker. It could be the issue of trackers being reset or a trackers that go away and the clarity that you might need during that, as you're going through interim rates. So when we file this case, we have filed the case and provided some options that we believe are viable options that could benefit customers during this time. And one of those options, as an example, was not to reset the choice tracker but basically to continue it. So this ended up with one of the options, and the economics are exactly what we had planned on. And in terms of the tone of what you see in the order right, I would just say that everyone has got different stakeholders that they're writing documents to, and I would not read too much into that. Our relationship is good. It doesn't mean we agree on everything, but I think the fact that we got through this self implementation and then the economics are aligned and we're able to stand by our guidance is a very positive signal.
Steven Fleishman - BofA Merrill Lynch: Okay. And then one other question just, could you just for a minute go through how the choice tracker works exactly? And there is a mention of kind of a dead band and just how did that dead band work?
Nick Khouri: Yes. Right now rates is roughly 3% choice levels. This is going to be the last rate order choices at 3%. So we do have a dead band of a few hundred gigawatt hours around that choice of 3% that basically we need to eat. Once we tap that dead band were essentially -- they go on 90%. So really the difference right now is that we have the 10% choice versus the 3% that is incremental 7% margin that we're able to book be roughly about 90% of that is a mandatory asset
Steven Fleishman - BofA Merrill Lynch: And you get the cash as well?
Nick Khouri: We get the cash in our future proceedings as reconciliations. So it's usually about an 18-month type of cycle time of cash.
Steven Fleishman - BofA Merrill Lynch: Okay. so I guess the one difference is that the cash of getting the interim versus the choice trackers is that the cash would have come quicker. But you have nothing -- okay. Now, yes, I understand the differentials now.
David Meador: And, Steve, that's the example of something that we proposed and we want to be flexible because we can book the regulatory asset, and we can collect the cash a year down the road. And that is an enabler for us to hit our earnings target but it minimizes the immediate impact on customers as that won't be reset in the base rates until a future date.
Operator: Our next question will go back to Daniel Eggers.
Dan Eggers - Crédit Suisse AG: I'll just ask you this question real quick. If you think about kind of the deferral on the Detroit's revenues plus the other deferral that had been proposed, in this case kind of things you guys put off from this filing, how much revenue increased or rate increases in the pipe from a cash perspective if you look at past this rate case to the next rate case before incremental capital for rate case growth?
David Meador: When we project, going forward, so we -- when we do our pioneer modeling right now, we view rate increases as one of the constraints that we're trying to manage to. So when we go out over 5 years, our rate increase, for example, the residential customers on average is under 5%. What's playing out this year is actually pretty low. It's just over 2%. And really the way to think about it is this choice reset could play out next year, but we've also not made any decision yet on when we'll file our next case at Edison. We're trying to manage our costs in a way to stay out of rate cases as long as possible because that's the right thing for customers. So you get a bad choice tracker reset independent of a rate case and the reconciliation and then we can file subsequent rate case at a later date. And again, we've not made any decision on rate cases in 2012. It's too early right now.
Dan Eggers - Crédit Suisse AG: Okay, got it. Thank you. And then I guess, just on the increase in win CapEx for this year, why is that not translating into more earnings out of Edison for this year? Is that a timing issue that will have more of an impact for next year?
Nick Khouri: That is correct. Most of that is going to be at the back half of the year. And we really start seeing some ramp up of spend in the second quarter. Primarily it's the second half of the year. So we'll get a full-year impact next year. There will be some -- relative to where we started the year, there is probably some data that it gets within its guidance range, is that correct?
Peter Oleksiak: That's correct. Yes, there's some modest income but so does the guidance.
David Meador: Just low single-digits, millions of dollars and it was already in contemplated in guidance.
Dan Eggers - Crédit Suisse AG: Okay. And so for next year, in averting that, supporting that 5% growth rate, is there a meaningful impact of the timing of it coming in late this year. What was it expected to come in early, '12 so it's kind of a wash?
David Meador: It's pretty much a wash for the '12.
Dan Eggers - Crédit Suisse AG: Okay. And then I guess on the economic earnings issue on trading, the money that's in the pipe, how -- is that firmly locked as margin today where it's just a time issue? Or is there still an position where that number can move around even with the contracts in place?
Peter Oleksiak: That really is accounting reserves. So these reserves as you put on our balance sheet release when the actually the physical delivery occurs. It is basically kind of programmed in with those forward partners' service with contracts.
Dan Eggers - Crédit Suisse AG: So both sides just reclaim as both sides are locked so that the sale is done and the purchase is done. So it's really just a delivery issue?
David Meador: Yes.
Peter Oleksiak: Yes. For the most part, yes.
Dan Eggers - Crédit Suisse AG: All right. And I guess one last question. On the mercury technology and mercury removals technology in P&I, when you guys look at the new oxides rule, the DPA called that the draft rule [ph], what sort of performance or what grouping of equipment or other inputs would you need to use your equipment plus other things to get to the kind of this 91% removal rate? Is there a -- is this a technology that bridges the gap that use a couple other lower-cost options?
David Meador: Well, it doesn't necessarily bridge the gap, but I'd say it would be an enabler to get to the 90%. The 90%, we are also working in MichCon because MichCon has a 90% standard that we have to hit by 2015. So we're on track on that anyways, but what we're -- we and others are learning is consistently hitting 90% is difficult even with other technologies. So when this is supplemented with other technology, it's an enabler to consistently hit 90% or slightly above 90%, which is in the proposed new rule.
Dan Eggers - Crédit Suisse AG: So really the way we should think about this technology is you're able to offer it to help people understand -- make sure that with traditional controls, they will always hit their numbers. So it kind of is as a standalone piece of equipment, it's not of great value against the toxics rule, but it's a good supplement to make sure your performance is at a fair interpretation.
David Meador: Yes, but I'd say it adds value too. So on the whole combustion process, this is first in line so this takes out the NOx and mercury up front, and then the other equipment is downstream. And it Just gives you a more protectable outcome.
Operator: [Operator Instructions] Up next is Mark Barnett, MorningStar.
Mark Barnett - Morningstar: Most of my of questions have been pretty thoroughly answered already, but just a couple of questions on the Barnett, I guess. See you'd acquired some acreage it looks like in the quarter and I'm just wondering now what the mix of sort of the oil, liquids versus gas looks like?
David Meador: Part of what you're seeing there is that we were reshaping our acreage really around the NGLs, and now what is being discovered is the oil play there. So we actually shut some acreage that we felt were less attractive, and now we're, I think, roughly over 85,000 acres. we're getting a $2 to $3 lift per Mcf because of NGLs and oil. And this is part of our strategy as we exit here to really optimize by proving up in what was now known as kind of the wet side of the gas play. So we're drilling specifically to prove up that pieces, and then it'll provide us an exit ramp that'll provide what we're describing here which is a significant improvement in dollars per Mcf produced.
Mark Barnett - Morningstar: Yes, it looks like things are moving in a positive direction. Have you had any increased interest in that acreage, I mean, given where oil prices have been?
David Meador: Yes, but I would describe it as a proved and unproved acreage in the mix. And so there's some producing properties that there's more interest in, there's also some transactions that we expect to happen in the region really around this whole oil play thesis. And it's something that we continue to monitor. And in the meantime, we're investing modest amounts of capital, but it's really being focused on this area of oil and NGLs.
Operator: Next we'll take a question from Ashar Khan, Visium Asset Management.
Ashar Khan - SAC Capital: Most of my questions have been answered, but have you changed your cash flow forecast, Dave, after this interim order? Or I didn't see any meaningful cash flow forecast change or was there?
David Meador: No. There's no cash flow change out of this. I think as we went into this, as we described in our original filing, we proposed some options and we anticipated that this choice tracker would be continued and that was embedded in our original cash forecast.
Operator: [Operator Instructions] And we'll take a follow-up from Paul Ridzon, KeyBanc.
Paul Ridzon - KeyBanc Capital Markets Inc.: Can you just kind of give your position on the half [ph] rule that came out, and kind of where you are on the spectrum of views of how achievable this is?
David Meador: Just on what's happening with the EPA that we believe the proposed rules are consistent with our expectation. But as you know, we and others have taken a position on and so we think the timing is unrealistic and it's very aggressive. Tony Earley [Anthony F. Earley] testified on April 15 before the U.S. House Committee on Energy and Commerce, and his testimony is on our website. We encourage you to go out and look at it, but we anticipated a lot of where this is going right now, but I also thought that it's appropriate to remind folks that we might sell reserved margins that are currently at 24% versus the required 12%. We also were on a path already to pursue 90% mercury reduction in MichCon. So what we have outlined for you is that we are going to continue to build our scrubbers and SCR at Monroe. And down the road, we anticipate putting additional environmental controls in some of the other larger, newer units, but there will be smaller and older coal plants that will be closed. And someday, somewhere, we'll be adding a new generation that would be likely to be gas generation. So I think what you're hearing from the industry and from us also is that we think the timetables are way too aggressive. And if not changed, we'll have impact not only on customer rates but could impact local communities with jobs and property taxes, and we'll continue to advocate to get to slow down a little bit.
Operator: And at this time, there are no further questions. I'll turn things back over to Mr. Meador for any additional or closing remarks.
David Meador: Well, thanks, Lisa, and thanks again everybody for joining us this morning, and we look forward to seeing you at AGA. And again, Gerry Anderson is talking on May 16 at 10:30. Take care and have a good day.
Operator: Ladies and gentlemen, that does conclude today's conference. We'd like to thank you all for your participation.